Amanda Taselaar : Welcome to the Kahoot! Group Earnings Webcast for Q1 2022. I am Amanda Taselaar from Kahoot! and I will be your moderator today. We are excited to be here with you to give you updates on our progress here at Kahoot!. We will start by giving you an introduction, then we will proceed to discuss Kahoot!'s financial and operational highlights from Q1. At the end of our presentation, we will take some questions from the chat. So please feel free to share your questions in the chat as we move through. Today, we have with us here, Eilert Hanoa CEO of Kahoot; and Ken Ostreng, CFO of Kahoot!. I will now pass it off to Eilert to get us started. Off to you, Eilert.
Eilert Hanoa : Thank you, Amanda, and good afternoon and morning, everyone, and thank you very much for attending this Q1 presentation 2022 for Kahoot!. Kahoot! is a generally purpose-led organization, and our mission is to make learning awesome with a clear vision to build the leading learning platform company in the world and this is our guidance at North Star and really influence everything we set out to do in this company.  We are truly driven to make sure that learning is really inspirational and also our work, making it truly impactful, whether it's at home or school or at work. And this is important because it also allows us to attract top talents from around the world in our mission to really make this come to life, whether it's in the talent pool of Europe or U.S., we really see the opportunity to attract the best employees to our teams, but also to of course, continue to develop Kahoot! in these different markets and segments. Before we dive into details, I would be great to start on a high level and I should also say before we start on this presentation that we will have Investor Day, the June 1 with a sign-off form on our Kahoot! website as well that we really will dive more into details in every aspect of what we are doing. But since the pandemic started, in the beginning of the pandemic back in Q1 2020, we have had a phenomenal development of usage of revenue and also size of the company with, among others, the acquisition of Clever, Actimo and Motimate as the most important contributions in addition to organic growth.  And in Q1 2020, we did approximately $6.5 million in invoiced revenue and in the Q1 this year, we have grown to $34 million, which, of course, includes Clever and that has been very, of course, interesting development for us when it comes to the usage of our services, the ecosystem's growth and also the very strong partnerships we've been able to establish.  We've also been able in this period to double the conversion of our paid subscriptions to over 5% among the professional users we have in Kahoot! at Work and Kahoot! at School and I am also very pleased to see that over time, we have been able to really show that the commercial initiatives that we've been building out, for all our user groups are slowly but firmly building layer-by-layer and also providing more value to our customers and also converting of course, more users every quarter to the different segments.  And this has been important for us to really build on when it comes to the position of Kahoot! as a platform for learning, the brand of Kahoot! for both the free users, but also for commercial usage at work, at school and home and the ability for us to build new services and new initiatives such as Academy and the way we can extend the services to our audiences.  And that's, of course, in the end of the day, what we need to make come true with these five pillars, making learning awesome and really engage the audience in learning in efficient use of digital tools and also continue this starting point of the commercial journey of the company. So, for everyone around the world, the first quarter this year has been extraordinary in many aspects and there's no doubt that the global market and the world community in general has been really challenged with both the threat of war outside of Ukraine and also with the turbulence in politics and in the effect of the pandemic long tail and the macroeconomic environment that has truly changed how a lot of processes and business has been done for the last couple of months. So clearly, the environment wasn't optimal for anyone, which we are also to be very transparent throughout in the middle of the quarter as this really built up. But we were able to change and deliver with a strong momentum in the latter part of the quarter and making sure that we reached our guidance for this quarter, even though this has been unprecedented when it comes to planning and change in the nature of the marketplace. So, our offerings across the market segments, including school homework, the way we have been able to build our services for the different languages for different use case of course and with the Clever as an important part of how we can offer our services, particularly in the U.S. has been very important for our ability to do so. And that, of course, is also a way we are able to continue to secure that our investments are valuable even though the turbulence in the market continues. Certainly, a difficult quarter for many of us and much hesitation impacted throughout that period. But with the market environment now converting back to fairly healthy, that is, of course very good development and also a way for us to continue to see how we are able to drive this momentum into the rest of the year.  If we look at the position we have both when it comes to the trends on a high level when it's impacting businesses, students and teachers. How we can use Kahoot! together not only on the professional side, but also at home? And this combination where we can build the Kahoot! platform, but also address our total markets across these very different segments, but at the same time, fundamentally using the same tool platform from Kahoot! is one of the strength we have in the way we address the opportunities going forward, as well. Our total addressable market is considerable and of course, the long-term trends that are really to our benefits, including the lifelong learning aspects, which is both happening, of course, at home, at school, at work.  The way development of learning happens in corporations with distributed learning with digital use of tools, either in small groups or in hybrid solutions or in classrooms and of course, the need for making learning more engaging through two-way communication, gamification and the experiences that are really driving engagement from the learner. And last but not least, which is spot on to our new initiatives around marketplace on Kahoot! Academy, we also have the ability to deliver great values to the creator economy and position the way both the platform and the reach of the Kahoot! brand can help anyone creating their own value of learning, whether it's as a teacher or as a domain expert or just a very engaged writer we can provide an ecosystem for that to happen, as well. And that brings us to the platform growth levers that we have. Both the opportunity we have with Kahoot! to lead with engagement and really making sure that we can continue to deliver software that is delivering great experiences for all users.  The way we have the strength from our setup of our organization to continue to deliver innovative solutions, the way we can have a strong commercial offering expansion, not only with the offerings we have today, but also the extension of these two new user segments and to existing users, adding more services, more value and also more debt in the current functionality available on the platform.  And of course, the leverage we have with the ecosystem with millions of users on the platform in any cycle, the feedback loops, the inspiration we get from how it's used and also how our customers are driving their innovative use of Kahoot! in their organizations is truly inspirational for us and help us build even better services in the next cycle. And of course, last but not least, that we have a solid financial development, which makes it possible for us to continue to invest both in our organization to build great services, the engagement and the free offerings to all our users and driving out new initiatives like example, marketplace and Kahoot!'s spirit going forward. And all this combined is what truly makes Kahoot! a solid player in this space of making learning tools and developments going forward. And a good example of how Kahoot! has been able to position the services in the school segments is this report from the LearnPlatform with Top 40 EdTech solutions, where Kahoot! and Clever has been able to capture the sixth and seventh position only surpassed by the Google tools used in classroom.  And this, of course, is a bottom-up study made of hundreds of thousands of educators' and students' feedback and also shows the resilience and relevance of Kahoot! and Clever both through the pandemic, but also on the way out of the pandemic as this is from the current school year. And we do believe that this is a great way for us to see the received experience and relevance of Kahoot! as a platform and as a way the service has been used across different use case in K-12 U.S. particularly. Moving over to business, as you can see here, we had a very good and solid lineup of new and existing enterprise customers in the first quarter. And first quarter was particularly encouraging when we look at the larger enterprise segment in general and also agreements we were able to land in this quarter. We had more momentum in the end of this quarter and new industries and also new geos and we also see an expanded use case with existing customers and larger deals from new customers coming in that not we have experienced before.  So it's definitely a momentum here that is encouraging and really helping us both build the right solutions, but also focusing going forward on the right kind of products and segments. And in most cases, these are all inbound inquiries that we have been follow up on.  And it really goes back to the core of the viral selling model, where, of course, all these customers have been using Kahoot! for a fairly long time prior to signing up and becoming a customer using Kahoot! more structurally internally. And still, of course, goes without saying, we have a lot of growth potential even with the existing customer list we have on our list of enterprise customers. And to sum this up, we have a fairly clear list our priorities. It's of course, as you saw in our Q4 presentation, when we outlined these priorities for 2022 that the combination of building the commercial roadmaps and focusing on strengthening the commercial offerings and our approach going forward, being relentless of continuing to develop great new services and tools with a product-heavy organization.  When it comes to resources and mind share, we will use on building our outdoor platforms, making sure we continue to build out our Kahoot! at Work offerings, both with the integration and packaging of Motimate and Actimo great services into the offerings we have and extending this with our new marketplace and Academy extensions for particularly the back-to-school season this year and the opportunity for the creative economy in the future. And last but not least, the ability for us to use Clever together with the Kahoot! services to also have an even better offering for the K-12 segment in the U.S., particularly, but also to extend this to the international markets outside of U.S. and also add new commercial services to the Clever network and the Clever ecosystem in the U.S. So, with that as a backdrop, I am very pleased to share the results for the first quarter, which was another solid quarter for Kahoot!. And during the first quarter, our key indicators developed very well with solid development in numbers of paid subscribers - subscriptions, sorry, in particular when it comes to the professional segments of school and work, and that we also had a strong growth in invoiced revenue and also ARR in addition to, of course, that we had year-on-year developments across all factors that are solid and going to the core of our plan to build step-by-step going forward. And I will now move over to – hand over, sorry, to Ken, our CFO to go through the Q1 performance more in detail. Over to you, Ken.
Ken Ostreng : Thanks, Eilert, and good afternoon, everyone. I am pleased to take you through a solid first quarter of 2022. Largely, we are on plan for the year with our performance in Q1 and as you see across our commercial metrics and growth KPIs that we have a robust development. Total revenue and other operating income for the first quarter were up 112% year-on-year to $34.4 million and deriving from Kahoot!'s recurring revenue business model and recurring revenue increased to $138 million by the end of the first quarter whereof, Clever contributed with approx $48 million from its U.S. ecosystem partners. And then to put it in perspective, Top-10 partners represents approx 25% of the Clever ARR. Another of our key indicators is invoiced revenue, which reached $34 million in the first quarter and that's up 78% year-on-year, including Clever, which was within the lower range of our guidance and looking at invoiced revenue, excluding Clever in the first quarter, it came in at $24.5 million, which is up 29% year-on-year.  The scalability in the Kahoot! business model is visualized by the positive development on adjusted EBITDA, with a continued year-on-year increase, up 56% from the first quarter last year. And then Kahoot! Group without Clever delivered more than 25% adjusted EBITDA margin in the first quarter.  The underlying operational cost base for the total Kahoot! Group had a modest increase of approximately $1 million quarter-on-quarter from Q4 last year to Q1 this year and we expect the operational cost base to have a continued modest quarter-on-quarter increase throughout the year.  Regarding scalability, our operational cost base includes infrastructure costs for both free and paid users. So the cost for converting free to paid users is marginal.  As part of our strategic priorities, as Eilert alluded to earlier, we focus a large part of our resources on R&D and product development, which is seen by more than half our FTE base being dedicated to product and engineering continually improving Kahoot!'s products and user experience, and this is included in our fully loaded operating cost base. Moving on to the next slide, we saw continued organic year-on-year user growth on the Kahoot! platform in the third quarter with close to 30 million active accounts in the last 12 months and the year-on-year growth in active accounts varies between the user groups. And we are pleased to see that we have 45% year-on-year growth within the Work category and 11% year-on-year growth within the School category, which represents the key sources for monetization of our user base. The growth in paid subscriptions continued and it reached 1.17 million across all services in the first quarter, up 54% year-on-year and the organic increase in paid subscriptions in the quarter was 60,000, whereof 40,000 on the core Kahoot!’s platform. For the end of the first quarter, we reached more than 0.5 million paid subscriptions within the Work category and almost 400,000 within the School category. Cash flows from our underlying operations was $4.2 million in the quarter and it was impacted by end of quarter business and by the Clever billing seasonality with approx one-third of Clever billing happening in the first half year and two-thirds happening in the second half year. Let's keep in mind that our CapEx is marginal and not eating our operational cash flow and we now have ten consecutive quarters of positive cash flow from operations. And by the end of the quarter, we had a cash balance of approximately $77 million. Okay. Let's remind ourselves that Kahoot! started its commercial journey a bit more than three years ago. And by the first quarter of 2019, we had north of 70,000 paid subscriptions and during the following 12 quarters, we have increased paid subscriptions by 1.1 million both through strong organic growth and through acquisitions.  So we finished the first quarter this year with more than 0.5 million at Work paid subscriptions and almost 400,000 at School and more than 0.25 million paid at Home and Study subscriptions. And of course, following the commercial launch some few years back, we invoiced our clients for about $2 million in the first quarter of 2019, which has grown year-on-year to $34 million in the first quarter this year Moving on to some operational metrics on the Kahoot! platform. As mentioned, the year-on-year user growth on the Kahoot! platform continued in the first quarter, both within active accounts, hosted sessions and participants, mid variations between the user groups whereof the Work category had the strongest development with more than 40% year-on-year growth for both active accounts, hosted sessions and participants.  The year-on-year increase in paid subscriptions on the core Kahoot! platform was approx 170,000, whereof 40,000 during the first quarter this year and it was fueled by organic inbound traffic and automated and Auto sales. Let's have a look at the full year 2022 outlook. So the Kahoot! Group reiterates the ambition to exceed $190 million in invoiced revenue for 2022 with recognized revenue exceeding $155 million and adjusted cash flow from operations of approx 35% of recognized revenue. We remain committed to this full year financial targets and we do this based on normal seasonality between the quarters that we've seen in the last year, now also including Clever, of course, with the main driver being the back-to-school season for Kahoot! and for Clever in the second half of the year. But also more particularly, I want to highlight three main points that will impact the outlook for the year. It's, of course, momentum in at Work with larger deals, growth initiatives, upselling opportunities and retention of existing customers, Clever revenues and anticipated effect of all residential effects between Kahoot! and Clever and new commercial offerings to the markets.  For the second quarter 2022, invoiced revenue is expected to exceed $36 million, representing approx 75% year-on-year growth. We have good visibility into our second quarter and feel confident that will have a solid starting point for the important third quarter with back-to-school and Clever invoiced revenues contributing to an expected 50% quarter-on-quarter growth for the third quarter. Moving on to our long-term ambitions, which is to exceed $500 million in invoiced revenue in 2025, representing approx 40% annual invoiced revenue growth, whereof approx one-third from Kahoot! at Work and one-third from Kahoot! at School, including Clever, and one-third from Kahoot! at Home and Study, including Kahoot! Academy marketplace.  And the operational cost base is over the period expected to be converted to approx 60% of invoiced revenue, which indicates approx 40% cash conversion of invoiced revenue in 2025. And important to mention that the financial ambitions outlined do not depend on any material acquisitions in the period. And by that, I'll hand over back to Eilert.
Eilert Hanoa : Thank you, Ken. Fundamentally, we have a simple long-term priority expert. It's about creating great awesome experience for all our users, really being user and customer-centric, deploy our resources into innovation and really engaging learning solutions for everyone.  It's about positioning us and also our ecosystem for users of the creator economy, which is extremely interesting and a great opportunity, not only from what we see, but also of the feedback from all the users to enable that opportunity for not only sharing but also the marketplace and transaction on our platform. Ensure that we continue to take advantage of the scalability of the Kahoot! platform going forward to deliver more value from a user perspective, whether you are a teacher or a learner. And also, last but not least, make sure that our products and our commercial developments enables us to have strong organic growth across all customer groups and product services in the future, because that's the foundation.  And these four combined, of course, from an ability to have continuous growth and also a better conversion to our commercial plans in the future.  So before we go to Q&A, I just want to sum up with our investment highlights. Kahoot! is a globally recognized brand across all these different sectors and segments around the world. We have a scalable cloud platform that is supported by our viral business model. We have a very experienced organization set up and team with a great track record from the industry.  We have a clear path to continue the profitable growth with positive cash flow from operations. And we also have our DNA in continuously improving all our services for all our segments and all user groups in every cycle. And last but not least, we have solid funding, so we can continue to do strategic partnerships and also non-organic growth in the future. So with that, I guess we will open up for Q&A, and I hand back you to Amanda.
A - Amanda Taselaar : Thank you, Eilert, and thank you, Ken. We are now ready to move to our Q&A for the final section of the presentation. We have received many questions in the chat, and we will start with the following question that has been mentioned a few times by several attendees. Eilert, now with your first quarter reported, how do you aim to further drive the growth of paid professional users? And how do you see your prospects to deliver on your full year guidance? A - Eilert Hanoa  Thank you. So, well, that's, many dimensions to that question. I am not sure we will reach out on all attributes, but I'll give a high level. So, as we talked about when it comes to our customers and also the development of the larger customers, it’s no doubt that, that's, of course, an important part of our growth going forward. Both based on what we have been building on services, the acquisitions of Actimo and Motimate and also our ability to continuously deliver more value to larger customers on how to use Kahoot!. Our journey started with being a simple to use free quiz that could be added at the end of the meeting and we have built out functionality and value, so that you can run a whole presentation or a whole learning session or even a development week course in the Kahoot! platform for all delegates. So the journey of the product is as important as the growth in usage of Kahoot! in larger organizations.  This is relevant for corporations, but also for schools and school districts and universities using Kahoot! as a way to make sure that learning is awesome. And of course, during our Investor Day, the 1st of June, we will have a more detailed develop – deep dive into both the product roadmaps and the way we will continue to develop is coming forward. But all-in-all, the platform we have and the ability we have to continuously develop more value and also work with our larger customers to see that we can fit their needs into our future deliveries is what is driving us and also driving the increased interest in our platform at this point. When it comes to the full year ambition of exceeding $190 million that is a combination of the seasonality that it doesn't really represent well from our Q1 number isolated, but obviously, with the back-to-school as the high season for our business and also the second half being the most important part for the rest of the Kahoot! Group, in addition to Clever, that's, of course, an important stepping stone in that plan. The other element is, of course, that also our product development going forward, both including new launches, but also more value on the existing offerings we have, also contribute to an accelerated development in the second half of the year. And as Ken outlined, we have the 50% quarter-on-quarter growth expectation to the third quarter over second quarter.  So there is already a fairly important step-up in the second or the first quarter of the second half in the runway we have now.
Amanda Taselaar : Thank you for that information. My next question is from Øystein Lodgaard from ABG. It is a two-part question. So the first is, you say you have signed several large enterprise deals in Q1. What are the typical use cases among large companies? And part two is, our teachers the key target group for AccessPass? Or do you think this product will also be relevant for students and others?
Eilert Hanoa : Yes. So starting with the larger corporations, the fascinating element, I guess, with how Kahoot! has been consumed so far by large organizations is that, it is actually not that many who are starting and also deploying it in the exact same way. We have companies who have been rolling out Kahoot! licenses only for their HR departments.  We have others who have been starting using Kahoot! for onboarding of new employees as the sole purpose. We have others who are using it only on the call center to motivate those who are talking to customers or their customers every day. And we have those who are using it on the big annual events or for creative brainstorm sessions in development teams. What's interesting for us and one of our opportunities that we might not have been able to maximize so far is to start to mirror these different use cases in large organizations to inspire our other customers to be able to do the same.  That's not only something we can do on the Kahoot! platform, but also what we can do when we combine the value of Actimo and Kahoot! or Motimate and Kahoot! And that's also why that project of combining these assets is so important for our future growth on the platform. And we really look forward to talk more about this on the Investor Day as well. The other question about AccessPass, so AccessPass started as our first way to test out the ability to sell content on the platform. We started that with a rollout in the end of December. And we have continuously enhanced both the AccessPass for existing and new subscribers and we will also continue to do that development going forward for our customers.  And we do believe that going into the back-to-school where both the marketplace and AccessPass will come in that second addition, if you will or an updated addition. In addition to today's announcement where we will add Spanish content to the AccessPass for all existing and new users shows hopefully the way and the value for AccessPass also going forward. And of course, this is an offering as interesting for families or single-use as it is for teachers and for – even for professional use for entertainment. And we do believe that the opportunity to expand with several different AccessPass in the future is another dimension that we will explore both as Kahoot! as the publisher, but also potentially with partners going forward.  So we really look forward to come back after summer, but also on the Investor Day to present out more of the initiatives around Marketplace and AccessPass as well.
Amanda Taselaar : Thank you for that information, Eilert. The next question is also for you. It is from Henriette Trondsen from Arctic Securities. Can you give any color on the decline in active accounts sequentially?
Eilert Hanoa : Yes. So first of all, year-on-year, we have a small growth across all different groups, but to that particular development of social free personal accounts, we had a decline quarter-on-quarter. And I think that's not so unusual compared to some of the other services that are also used in more personal and social settings.  We had a growth in paying users in what we call Kahoot! at Home and we also see that going forward, the combination of adding more value strengthening our offering with, for example, content and AccessPass and the ability to drive different sets of learning, it's important to not only drive the existing users of usage, but also, of course, to continue to attract new users.  And it's important also to remember that it's a continuously flow of new users into the platform as it has always been. And so, it's not a constant mass of users year-on-year, even though the numbers might be similar. And that means that it's constantly opportunities for driving momentum on the platform when it comes to commercialization.  We, of course, have a viral business model and continue to build out services and offerings to also make sure that we have growth going forward. But there are numbers of users, which grew massively in the last two years. As an example, we almost doubled the number of active accounts in personal use or at home segments from – or the beginning of the first quarter 2020 before the pandemic and up until today.  So the growth has been phenomenal throughout our various specific and special time and we continue to be able to grow that going forward as well, but we need to continue to add more value, new ways to use our services and also great content going forward.
Amanda Taselaar : Thank you, Eilert. Our next question will be for Ken. The question is from Lars Devold from Kepler Cheuvreux. Were there any special items impacting the salary expenses this quarter? And what kind of pressure are you seeing from salary inflation?
Ken Ostreng : Yes. So in general, we are not more or less exposed to seller inflation than other similar businesses. We have a distributed team in various parts of the world. And obviously, there may be some variations if you are kind of in Sector A, Sector B or if you're in Europe or West Coast U.S. So in general terms, I think we are just following the general market development for tech businesses. There are always some adjustments that needs to be taken, but we are not kind of experiencing any dramatic kind of pressure or changes in premisal salary across our global team.
Amanda Taselaar : Thank you, Ken. I am going to move our next question back over to Eilert. It is from Håkon Fuglu from SEB. I guess it makes sense to launch Clever to new markets prior to back-to-school in August and how is your progress here? Also, can you state whether or not new markets for Clever are included in your revenue guidance for 2022?
Eilert Hanoa : Yes. Thank you. So we don't disclose any particular elements around that. But of course, the main bucket of growth and revenue in Clever in 2022 is based on the K-12 U.S. and new initiatives that we are doing, of course, also together with Clever this fiscal year, meaning the school year starting with back-to-school this year.  And building out Clever is, as we have also covered in previous calls, of course, a combination of using either elements of the platform, but also the whole Clever experience in different ways, in new markets. And that's an ongoing development and also ongoing projects. We are doing in cooperation between the Kahoot! team and the Clever team going forward.  And we will, of course, revert with more details about the roadmap for internationalization and specific deliveries in the coming quarterly presentations and also we will go more into details of Clever when it come to the Investor Day in June 1st.
Amanda Taselaar : Thank you, Eilert. This next question is also for you. It's from Karen Siu from JPMorgan. You previously provided an adjusted EBITDA guidance of over 40% by 2023, excluding Clever. Could you talk about your visibility towards the target?
Eilert Hanoa : Yes. So, both Ken and I can obviously answer that, but I can maybe give a short answer to this due to we are soon on time. As I think we briefly mentioned that through this call that we had a strong development on EBITDA for Kahoot! excluding Clever also in the first quarter this year. And of course, Clever is still a relatively new member of the Kahoot! Group, building up both the platform and also we are working on aligning cost initiatives across the different companies in the group.  So we expect us to be able to drive both margin and cash conversion across the group during the coming years in a level which is kind of more on what we had prior to acquiring Clever. But in parallel with that, of course, the cash conversion and the rest of the Kahoot! Group will also be on top of our priority. And we are still believing that, that's a good target for us to have for the Kahoot! excluding Clever for 2023.
Amanda Taselaar : Thank you, Eilert. We have time for one last question and it is also for you. It is from Frank Maaø from DNB. How is Kahoot! EDU sales to larger schools and districts going? And how do you expect user engagement and active user accounts in the teacher category to develop in the second half? The number of teachers has been flattening out, but do you see signs of a decline for some of the teachers going forward as lockdown usage is being annualized?
Eilert Hanoa : Yes. So first of all, we believe that we will have and this is, of course, based on inbound interest but based on the attendees on seminars, based on feedback from teachers and schools and school districts that there will be a solid back-to-school for us. It's not something that will be coming for free, meaning that we have to continue to invest in our product and our functionality to make that happen. But based on initial feedback and based on usage on the Clever platform and also the roadmap we have and Clever has on both the visibility we have with customers and our own roadmap, we believe the back-to-school season will be solid this year. And we believe that, again, by adding more use cases of the credit platform.  So it's not just the basic quiz in the classroom, but also for self-assignment for asynchronous learning, whether it's homework or preparations for exams, the ability to share creative sessions and also the ability to use the courses functionality for teachers, whether it's in class or for homework or for the parents. There is a lot of new dimensions constantly added to what is considered the Kahoot! experience today. So as we are continuing to be forward-lean when it comes to investments to also be able to monetize on commercial opportunities, doing great integrations and co-operations and launches with our partners to provide a better experience in the school, whether it's with integration with Google Classroom or Microsoft teams or Soon or other services from all like the Apple School works used in schools as well, we believe that we have a fair chance and also a very solid starting point for having a great back-to-school this year.
Amanda Taselaar : Thank you, Eilert. Thank you all so much for joining us today, and thank you for your questions. If we did not get to your question today, please feel free to reach out to us. And Eilert, I am going to pass it back to you for the final word.
Eilert Hanoa : Thank you, Amanda, and thank you for helping out today on this event as well. Thank you very much, everyone for attending. We look forward to recollect on the next quarter presentation or if you have the opportunity to join our Investor Day, the 1st of June, and then also go into more details around several of the topics and questions we covered today and also that was covered in your questions.  With that, have a great rest of the day. And we look forward to meet you again soon.